Operator: Good day and welcome to the Compass Minerals' fourth quarter earnings conference. Today's conference is being recorded. At this time, I would like to turn the conference over to Ms. Theresa Womble, Manager of Investor Relations for Compass Minerals. Please go ahead.
Theresa Womble: Thank you, Camille. Thank you all for joining our call this morning. I am joined today by, Fran Malecha, our CEO; and Rod Underdown, our CFO. Before I turn the call over to them, let me remind you that today's discussion may contain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. These statements are based on Compass Minerals' expectations as of today's date, February 11, 2014, and involve risks and uncertainties that could cause the company's actual results to differ materially. These differences could be caused by a number of factors, including those identified in Compass Minerals' most recent Forms 10-K and 10-Q. The company undertakes no obligation to update any forward-looking statements made today to reflect future events or developments. You can find reconciliations of any non-GAAP financial information that we discuss today in our earnings release, which is available in the Investor Relations section of our website at compassminerals.com. Now, I'll turn the call over to Fran.
Francis Malecha: Thank you, Theresa. And thank you all for joining us today to discuss Compass Minerals' fourth quarter performance and outlook for 2014. Today, we're reporting both topline and bottomline improvements in the quarter and for the year versus 2012 results. Our sales increased 45% to $387.4 million for the quarter and 20% to $1.1 billion for the full year. Our adjusted EBITDA increased 68% for the quarter and 31% for the year. Excluding special items, net income for the quarter and the year improve 62% and we generated $239.3 million in cash flow from operations, which was 58% more than the $151.7 million we generated in 2012. Now, there were a number of puts and takes in the quarter and Rod will walk through those later. I'll focus my comments on areas where we're making progress and building momentum as well as the areas where improvements need to be made. As I look back, it's amazing, what a difference a year can make. When we hosted our earnings call last February, many wondered if we would ever have a normal winter again. At that time, we were on the hills of a third consecutive quarter, a significantly milder than average winter weather, and dealing with all the headwinds created in the market and for our operations. But last winter ended with a flurry of snow activity that helped alleviate some of those pressures. We still had deicing salt inventory issues at the customer level, which prevented 2013, 2014 highway deicing bid volumes from fully rebounding to typical levels. Another effect was lower average selling prices for highway deicing salt on those awarded bids, which is impacting the current winter season. Winter weather in the fourth quarter of 2013 was substantially above average. The total number of snow events in our 11 representative cities was 80% above the 10-year fourth quarter average, and more than double the number of events reported in the fourth quarter of 2012. This pushed fourth quarter highway deicing volumes up 79% and consumer and industrial sales volumes up 26% compared to last year, and resulted in total salt sales of just over $323 million. These higher sales volumes also helped lower our per unit operating cost. Based on our results to date, we are expecting highway deicing volumes to be similar to last year's 4.4 million tones here in the first quarter. This takes into a consideration of fact that we've had strong winter in North America in January, but also below average winter weather in the U.K. And we will definitely see a more pronounced impact in our first quarter highway deicing average selling price from last summer's lower priced contract awards. With the winter being so widespread in our core North American markets, our ability to shift volume and redeploy deicing salt from one region to another to serve above-contract maximum is very limited. All of our available in-season shipments are going to serve existing customers. We expect first quarter demand for consumer professional deicing products to increase our first quarter consumer industrial volumes and this should have a positive impact on that business' average selling price. We expect that salt cost will be lower in the first quarter of 2013, as we carried lower cost inventories into the New Year. So taking all of these factors into consideration, the first quarter Salt segment operating margin percentage should be similar to the 20% we reported last year. Certainly, the winter weather we've had so far in the first quarter should improve the 2014 supply demand balance throughout the North American highway deicing market and perhaps even tip it in the favor of the producers. We do expect to mine more rock salt in 2014, in order to replenish inventories, which should benefit production cost. The current weather does bode well for the potential of the upcoming bid season for volumes in particular, but let me remind everyone that we still have two important months left in the winter, and we'll have to wait until the full winter is complete before making any judgments about what this winter means for the 2014 highway deicing bid season. We will provide more definitive updates about our production plans and the full year outlook, when we get further into the spring. Now, turning to our Specialty Fertilizer segment. Here it's been quite a difference in the past six months. We spoke with you in July, there was some degree of uncertainty regarding our sulfate of potash business. Our earnings release happen to coincide with the news that one of the global potash marketing groups were disbanding, so that one of those potash producers could produce a volume-over-price strategy for standard potash. While this advanced in its aftermath, seems to have curbed the performance of many fertilizer producers, our business has shown strength and stability. We focused our sales on the highest net back markets in North America and we've continued to differentiate our SOP by marketing a superior value it can provide growers of specialty crops. The fact that we sold more tons than we ever have as a public company to our core western U.S. regions this year is strong evidence that our strategies are working. We sold almost 100,000 tons of SOP in the fourth quarter at $626 per ton and we are expecting about a 10% year-over-year increase in sales volumes in the first half of 2014. Although, the demand side of our Specialty Fertilizer business was very steady during the fourth quarter, we did not reach our production cost goals for 2013. We have achieved some stability with improved reliability and uptimes at our Ogden, Utah facility. However, we are still not converting our pond-based feedstock into SOP at the rates that we would like. This means, it has taken more pond feedstock to produce every ton of SOP. While we are pursuing improvements in that area, we will continue to opportunistically use MOP to supplement our production there. And as we mentioned before, using MOP in our production is more expensive, but the current price premium we're able to achieve in our key markets, make this process profitable for the company. This has helped to ensure that we will have product available in the first half of 2014 to serve our customers during the spring application season at attractive prices. In summary, we are expecting our Specialty Fertilizer segment operating margin of around 27% for the first half of 2014. Before I turn the call over to Rod for further elaboration of the financial detail for the quarter, I'd like to update you on our strategic plans for 2014. We continue to evaluate our expansion plans at the Great Salt Lake. We have growing confidence in our ability to sell additional tons into high-value markets close to home. But the reality is that the Ogden plant has not been able to covert pond-based feedstock into SOP at desired rates. So we will continue to focus on producing as much SOP as possible there, using both pond-based feedstock and MOP as a supplement as long as the economics makes sense. This will allow us to continue our growth in key North American markets. We have identified several incremental investments that we believe will improve our pond-based conversion rates of Ogden. As we gain more confidence in our ability to produced pond-based SOP, we will then begin to trim the scope of the larger scale plant expansion. We believe this approach will allow us to maximize our sales opportunities and demonstrate our process improvements, while we determine the best approach for growing our SOP capacity in the future. As this decision illustrates, we're beginning 2014 with an emphasis on performance and efficiency throughout the entire organization. We are pursuing opportunities to reduce cost and increase profitability, all the while maintaining the highest levels of safety, quality and performance. We are also pursuing growth opportunities internally and externally and we will seek acquisitions to augment our current businesses or to add complementary businesses. But keep in mind, any acquisition will have to meet our risk adjusted mid-teens target for internal return rates. We will continue to be good stewards of the company's balance sheet and we continue to protect and grow our dividend, which the Board of Directors just increased 10%, making it the 11 consecutive year of dividend growth. Given this direct return to investors, has been and will continue to be an important element of our value proposition to investors. Thank you. And now, I'll turn the call over to Rod.
Rodney Underdown: Thank you, Fran. And I'll start today with a review of our Salt segment. Fourth quarter salt sales increased 56% from last year's fourth quarter, again as a result of the increase in sales volumes this year. The increase in snow events in our core North American markets compared to the prior year, pushed total salt sales volumes to 4.7 million tons compared to the very mild 2012 fourth quarter, when we sold only 2.8 million tons. Consumers and industrial volumes in the quarter were up 26% from the prior year and most of that increase was related to packaged deicing demand, although non-deicing product sales volumes also grew respectively in the quarter and for the full year. This was the first meaningful year-over-year increase in consumer and industrial sales volumes in a number of quarters, as our retail customers' deicing inventories became depleted by the widespread winter weather, and therefore sales were brisk in December. Our average selling price for consumer and industrial salt was 1% higher year-over-year, is the benefit of stronger sales of consumer deicing products, was muted by a larger percentage of those sales coming from lower-value packaged rock salt deicing blends. Average selling prices for highway deicing products were essentially flat with the prior year result, as the ratio of higher-value highway deicing salt to lower-value rock salt for chemical customers was more favorable this year. This offset the impact of lower highway contract prices from last summer's bid season. Average selling prices for all salt products, which again, combined highway deicing and consumer and industrial products together, declined about 7% as a result of the stronger highway deicing sales this quarter, when compared to last year, when the sales mix was more influence by the higher value consumer and industrial sales. This product mix shift also contributed to the 16% year-over-year reduction in per unit salt cost. Salt operating earnings were $74.8 million, which was a 56% increase from $47.9 million in the prior year quarter. The 2013 result includes a $4.7 million charge for a reserve related to a ruling against the company from a 2010 labor issue. So excluding this special item, our quarterly operating earnings would have been $79.5 million or 66% above last year's result. Those of you who have followed us for a while know we always provide an assessment of how the winter weather impacted our results. We do this in order to be as transparent as possible about the underlying performance of the company and we use this consistence methodology each year. This quarter, we estimate that our sales benefit approximated $45 million to $50 million from above average winter weather and our operating earnings benefited $10 million to $15 million. It's important to keep in mind that this estimate is based on bid results that we achieved. During the last bid season, average awarded contract prices were modestly lower and bid volumes partially rebounded, but not to levels we saw prior to the 2011, 2012 winter season. So our calculation of weather sales and operating earnings on a normalized basis factor in these market events. Looking forward, we expect highway deicing prices to fall about 5% in the first quarter compared to last year, again due to the lower contract prices from last summer's bid award. However, consumer and industrial average selling prices are expect to climb about 4% from prior year results due to heavier demand for higher-value package deicing products this quarter compared to last. Our current forecast for the first quarter of 2014 is to sell about 4.4 million tons of highway deicing salt, and as Fran mentioned, this guidance factors in very robust sales in North America despite a rather mild winter so far in the U.K. We expect our salt operating margin percent for the first quarter to be similar to the first quarter of 2013. Remember, we produce most of our salt ahead of the winter; so much of the product we sell in the first quarter of 2014 will have been produced in 2013. We said last quarter, we believed it would take an above-average winter to reset the supply/demand balance and we especially needed that to occur in southern regions of our service territory, where highway deicing inventories were still quite high. While, winter weather, thus far has been well above average throughout all of our primary North American territories, so we expect that both customer and producer deicing inventories will have been significantly depleted when the winter is over. Beyond this, we won't really have a firm view on the bid season, until it gets underway this spring. Turning to our Specialty Fertilizer business. Segment sales in the fourth quarter were up 8% compared to 2012 due to a 9% increase in sales volumes during the quarter. Average selling price was essentially the same as last year's at $626. Sequentially from the third quarter, the average price was down $20 as a result of changes in regional and product sales mix rather than market pricing pressure. You will note that we sold more product, FOB, the plant, which lowered gross selling price, but also reduced shipping and handling costs in the fourth quarter by about 17% year-over-year. Specialty Fertilizer operating earnings were $19.7 million in the quarter and this includes a $9 million benefit from an insurance settlement. That settlement relates to a mineral-brine loss at our Ogden solar pond facility in 2010. So excluding this item, per unit cost increased 4% compared to the fourth quarter of 2012, and increased about 5% on a full year basis. When stepping back and looking at full year costs in the Specialty Fertilizer segment, production costs actually declined in our Ogden operation, but only by about $10 per ton. As Fran mentioned, the driver of the shortfall was lower than expected conversion rates of pond-based feedstock. There were also some mechanical issues, but those were less prevalent and late in the year than earlier. As a result of the lower pond-based yields and because of the improved economics of supplementing our pond-based production with potassium chloride, we produced about a quarter of our SOP in the fourth quarter through this higher cost, though still, solidly profitable production process. When we factor in the effect of the higher costs production and we trued up the final full year cost per ton, which includes the adjustment impact of the per unit cost for all ton sold for the full year, our reported fourth quarter unit costs increased year-over-year. As a reminder, our all-in cost includes about $70 per ton of depreciation and $30 per ton each of royalties and SG&A. So for now, we're expecting in the first half of 2014, our cost to be approximately the same as the 2013 full year costs of $377 per ton, which included the benefit of special items in the fourth quarter. We're expecting average selling price for Specialty Fertilizer to be about $620 for the first half of 2014. The timing of the regional sales is expected to result in a similar pattern to last year, when the first-quarter sales price was lower than the second quarter. That being said, we see steady demand continuing as we enter the spring season. This gives us a relatively high degree of confidence in our volume guidance of 180,000 tons for the first half of 2014. Many of you are aware of the drought affecting California right now. The drought has not pressured our sales in any unfavorable way thus far. With the potassium and SOP and the lack of chlorides, our product plays an important role in actually improving water-used efficiency. In short, SOP helps the growers use the water they do have more effectively. It is possible that the drought could reduce the number of acres planted in some of our markets and as a reminder a large portion of our growers served have a established root systems, but we'll continue to monitor the situation for any possible impacts as we progress for the year. Lastly, I'll run through some corporate items. Cash flow from operations at the end of 2013 increased 58% from the 2012 period mainly due to the higher earnings and the depletion of salt inventories. We ended the year with capital expenditures of $122.7 million. Because we've been spending on some infrequent, but necessary maintenance projects, our sustaining capital expenditures have been higher than typical. In 2013, our combined special and standard maintenance of business capital was about $85 million. We also had about $15 million in tornado-related spending. Most of the remaining spending related to smaller payback projects and cost reduction efforts at several of our operations. In 2014, currently we anticipate investing approximately $100 million in capital spending with about $90 million of that for maintenance of business, including about $30 million for the special infrequent spending projects. The remaining $10 million will be spent on investing and payback projects. We may identify additional payback investment opportunities during 2014, and of course, we'll update our guidance, should that occur. We expect to report between $18 million and $19 million of depreciation and amortization per quarter throughout 2014. Our corporate and other segment operating loss is expected to be approximately $50 million in 2014, when compared to the $54 million we reported in 2013. The 2013 results included some costs related to the company's reorganization, and the 2014 outlook reflects efficiencies we gained through that action. We also incurred some professional cost we do not expect to repeat in 2014. Interest expense in the quarter was $4.6 million and almost $18 million for the year and we expect similar quarterly amounts in 2014. The fourth quarter tax rate of 27% lifted the full year rate to 25%. We also expect that 2014 income tax rate to be around 25%. And so with that, I'll turn the call back over to the operator for questions. Camille?
Operator: (Operator Instructions) And we'll take our first question from Mark Gulley with BGC Financials.
Mark Gulley - BGC Financials: Congratulations on being able to maintain stable SOP prices. That certainly has not been the case for other crop nutrients. If I refer to Page 7 where you go through some of the agronomic selling points, can you maybe dig a little bit deeper on how you're doing there or maybe express it in terms of the volume growth you might be able to achieve by selling more of your product in North America to the markets that you identify there?
Francis Malecha: I think the success we've had so far has really have been moving volumes from lower netback regions further away from the plant into the higher regions closer to the plant, which really puts us more into California and the PNW. As a result, if you look at, especially the crops that we have on the page that you've identified, some of those crops are a little more sensitive to MOP than others, but generally we see more opportunity in crops that just can't handle that chloride issue. And I think that's in both of those regions that I talked about. So it's a constant process for us. We continue to increase our customers in those areas, increase penetration, and with people that we have on the ground expect that that will continue to build over time. And I think it bodes well, for as we look at increasing production, whether we're doing that through using KCl or through more pond base, which is our desire, as we go down the road, it will match that demand build overtime and not kind of destroy the pricing structure in the market.
Mark Gulley - BGC Financials: Secondly, do you view even more MOP addition as a substitute for a plant expansion for maybe the foreseeable future?
Francis Malecha: That's something that we certainly are putting into our equation. The risk in that is that the prices of both of these go up and down and it's hard to predict those prices well into the future. We do know that if we can increase the pond-based production at returns that meet our requirement that's a more stable opportunity for us to meet that market demand and in the future. So we're kind of weigh both of those things, and I think we're at a spot right now where we'll try to continue to produce as much as we can, probably using a little bit more MOP than we'd like. But we're going to do that because we can, and we're going to make good margins and build that market successfully.
Operator: We'll take our next question from David Begleiter with Deutsche Bank.
David Begleiter - Deutsche Bank: Fran, looking at prior year's periods where you've had very strong and depleting winter seasons. How would those next year price negotiations progress?
Francis Malecha: And as I think, if you look at the history of pricing over the last 10 or 15 years actually, we do post that information to the market over time. We've averaged about 3% to 4% price increase on average, but we've had few years including the last two, where we've had price reductions. The last two years have been 2% and 3%. And we've had years as high as 8% to 10% in terms of price increases, and most of that was driven by certainly weather and strong winters. So we don't want to get too far ahead of ourselves here. We do have a couple of months to finish up on our core shipments for the winter. But certainly, as you look back in history, it should bode well for the upcoming bid season.
David Begleiter - Deutsche Bank: And, Fran, just on shipping and handling cost in Q1, are you incurring any additional costs due to the severe winter weather, either rivers freezing, et cetera?
Francis Malecha: If you look at this winter, I mean it's been so strong everywhere. And especially, if you go back to that kind of late December weather was extremely cold, that created freezing in the river system in places that we haven't seen freezing happen, and that's caused some problems getting barges to market at times, and certainly the same way with vessels through the lakes. In fact, now we aren't shipping any vessels now, as we've shut that program down for the balance of the winter, which is normal. But the last bit of that season was certainly more challenging, just because of the cold weather. So I think when you look at the cold temperatures, plus just the fact that winter has been heavy everywhere, we really have had the opportunity to take advantage of moving salt from one spot to the other, and they'll pickup some additional margin. We've just been really concentrating on getting everything to meet our current sales. And we really haven't had a lot of time in between these storms to replenish ahead of the next storm coming, like it would be probably a more traditional pattern, if it was average. So it's a good news story for us. And I expect that we'll have some additional cost, as we ship out the balance of the season.
Operator: And we'll take our next question from Ivan Marcuse with KeyBanc Capital Markets.
Andrew Dunn - KeyBanc Capital Markets: This is Andrew Dunn on for Ivan. So just to kind of confirm what you're saying on the salt side. Since you've had trouble moving some of those inventories around, do you anticipate that you might have to purchase from third-parties going into the first quarter? Have you had to do a little bit of that already? And also just to make sure what you're saying, as you're not really going to have any opportunity for any spot purchasing in the quarter as well?
Francis Malecha: I think we are saying that the spot opportunities just aren't going to be there and what we just described kind of the reasons for that. In terms of meeting our customers' needs, we're doing that. I would say that nothing out of the ordinary this year in terms of making that happen. There is always some buying and selling that goes on I think to kind of match things off, but we expect to be able to meet our requirements.
Andrew Dunn - KeyBanc Capital Markets: Then on the SOP side. Do you think you can maybe breakdown for us, right now, kind of the benefit you're seeing from this drought situation in California versus the increased demand that's coming from your own kind of increased marketing and sales efforts?
Francis Malecha: I don't think we can accurately predict that. We aren't hearing a lot about the drought from our customers in terms of the decision they are making here in the short-term. I think we'll be cautious if the drought continues and that will have an impact, could potentially have an impact on the longer-term. But it's difficult right now to really get down to that level. I think, personally I believe that the bulk of what we're seeing is from our efforts that we're making on the marketing side. But it's just difficult to get data to say, let's hear it there. Certainly, it's a challenging time in California for growers and we think we have a product that does add some value, as they go through these kind of conditions. We hope that it's short-lived and we'll continue to kind of manage our way through that along with our customers.
Operator: And we'll take our next question from Joel Jackson with BMO Capital Markets.
Joel Jackson - BMO Capital Markets: Just a first question back on SOP. What are the opportunity here, if you look at your Ogden plant and trying to increase the conversion rate? And other opportunities here to actually throw more energy cost at it, and maybe run the feedstock through more cycles of evaporator crystallizer as opposed to have to spend more on the CapEx side to maybe to improve the rates?
Francis Malecha: I think the changes that we've talked about are more in the process. And without getting into too much detail, I think there will be incremental capital fixes just to continue to debottleneck in order to improve our conversion. I wouldn't think there'll be significant CapEx, but it's probably two or three projects that we either have on the go or would be initiating shortly, and that should give us benefit down the road.
Joel Jackson - BMO Capital Markets: And if you are sort of deferring committing through expanding Ogden, so you can sort of figure out some investments to how to improve. Where do you see sort of the growth in earnings for the company? If your salt's earnings are somewhat range-bound by the year-to-year fluctuations in weather, you've got a bit of growth related in new roads and things like that. But if the SOP business is not going to be expanded, where do you see the opportunities for growth coming or when do you make a decision to maybe repurchase more shares, repurchase shares or up the dividend significantly?
Francis Malecha: Well, we did up the dividend consistent with past practice, so that continues to be important to us and then part of the value equation for investors. We look at things like margin expansion from our current operations and making them more efficient, especially on the salt side. We'll continue to look for ways to increase higher-value production at places like our plant in Wynyard, in Canada, on the fertilizer side and we'll continue to look for potential acquisitions that would complement or strengthen the fertilizer business overall. And we haven't rolled out the pond expansion either, so we think that we'll continue through the steps that we're making to improve supply and the production which will increase the topline. And then we think that as that's successful, there will still be that expansion opportunity that we would size consistent with where we think this market will grow and continue to kind of maintain the strong margins that exist today. So I think there is opportunities there. If we don't find those opportunities and are looking for ways to invest that money or a return to shareholders, we would certainly consider financial alternatives to do that.
Operator: And we'll take our next question from Robert Koort with Goldman Sachs.
Angel Castillo : This is Angel Castillo on for Bob. Just a quick question, regarding the breakdown of your SOP sales in exports versus domestic, could you give us a sense for where that's today versus historically?
 Goldman Sachs: This is Angel Castillo on for Bob. Just a quick question, regarding the breakdown of your SOP sales in exports versus domestic, could you give us a sense for where that's today versus historically?
Rodney Underdown: Historically, we've sold about 20% to 25% of our sales internationally. I think we had a year that was upwards of about a-third. This year in 2013, the total was in the low-teens kind of just south of 15%, so a significant move downward.
Angel Castillo : And if I may, just a follow-up on that. Given this kind of the shift towards the U.S. market, there has been a lot of news around additional low-cost capacity of SOP coming online in the U.S. as soon as 2017. I was wondering how does this affect your strategy and the potential for your further expansion of the Ogden plant and how you view the outlook for SOP prices thinking of that?
 Goldman Sachs: And if I may, just a follow-up on that. Given this kind of the shift towards the U.S. market, there has been a lot of news around additional low-cost capacity of SOP coming online in the U.S. as soon as 2017. I was wondering how does this affect your strategy and the potential for your further expansion of the Ogden plant and how you view the outlook for SOP prices thinking of that?
Francis Malecha: There is I guess a handful of projects that are out there in various stages of trying to get to market. Many of those projects are based on converting polyhalite to SOP. That production process from our perspective just hasn't been proven commercially viable. And I guess we'll just have to see if those tons do come to market. Certainly that would be a number of years down the road, if it actually happened. But we continue to watch those. That would require significant capital investment to bring them to market. And certainly if the tons that I talked about would come to market all at one time, it will significantly impact pricing, which I think would certainly impact somebody's thoughts about making those kinds of investments. So that's why I like our approach where we're taking a measured approach. We're continuing to add to bring more tons to the market. We think we can continue to do that as described earlier on the call and continue build on our customer base in the key markets that are driving that kind of pricing that we're seeing. So that's really our perspective. We'll continue to watch those projects, but they just seem me to be, I would say high price tag and just difficult from a process standpoint to be imminent.
Operator: And we'll take a follow-up question from Mark Gulley with BGC Financials.
Mark Gulley - BGC Financials: Can you comment a little bit on snow events quarter to date, given the continued harsh weather conditions, but perhaps you have already signaled what that means in terms of your shipments for this quarter. So if the events look pretty solid, could some of that perhaps spill over into the second quarter?
Rodney Underdown: Yes. Mark, this is Rod. Snow fall in January and here in the first little bit of February has been very robust and active. And that's I am talking about now our North American market. In the U.K., it's been mild and so that's certainly affecting our outlook for Q1. But as we turn back and look at North America, I think our guidance is meant to indicate that much, if not almost, all of our inventory and productive capabilities during the quarter will be sold and consumed by our customers. There might be a little headroom there, but not a lot. As we think about the guidance that we gave for the consumer business, I think it's always a little more tenuous to guide in that business. The retailers don't tend to like to buy late in the season, but they will when weather continues. And so I think as we think about our consumer and industrial business, we might have a bit more of a runway there. But we definitely need winter to continue over the next couple of months in order for that to be substantially higher than we've guided. So we'll monitor it over the next few weeks and provide updates as the opportunities arise.
Mark Gulley - BGC Financials: And finally as another follow-up, if I may, Fran, you did talk about the price impact of harsh winter weather on salt pricing, this subsequent winter. But if you look back at history, the last time we had a very harsh winter, '08, it was followed by several years of well-above the average pricing, in the 7% to 8% area even after that 10% in the following year. I know each winter is different and I know the supply/demand is rebalanced every winter, but could we see a couple years of above-average pricing following this one as we did following '08?
Francis Malecha: Well, we hope so. A lot's going to depend on obviously the winter following and so on so forth. But if you go back and look at history it's a positive I think signal and our job here is to make sure that we're kind of maximizing our capacity and also maximizing margins, which prices driving that. So we've got a lot of experience here and I think we've got a group that's pretty motivated about the year ahead, because last year-and-a-half or so has been challenging. We've, I think done a good job of managing our ways through that. And the group is pretty motivated about what's happening out there right now looking at the future.
Operator: This does conclude the Compass Minerals' earnings call for today. Thank you for joining us. You may now disconnect.